Operator: Good day and thank you for standing by. Welcome to the IAS second quarter 2021 financial results conference call. At this time all participants are in listen only mode. After the speaker's presentation, there will be a question and answer session.  I would now like to hand the conference over to your host, Jonathan Schaffer, please go ahead.
Jonathan Schaffer: Thank you. Good afternoon and welcome to the IAS 2021 second quarter financial results conference call. I am joined on today's call by Lisa Utzschneider, CEO and Joseph Pergola, CFO. Before we begin, please note that today's call contains forward looking statements. We refer you to the company's IPO prospectus filed on July 1, and any subsequent reports filed with the SEC for more detail about important risks that could cause actual results to differ materially from our expectations. On today's call, we will also refer to non-GAAP measures. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures is contained in today's earnings release available on the company's IR site, investors.integralads.com. So with these formalities out of the way, I'd now like to turn the call over to Lisa Utzschneider. Lisa you may begin.
Lisa Utzschneider: Thank you, Jonathan. And thank you to everyone for joining us. I'm delighted to speak with you today on IAS's first earnings call as a public company. I'll start my comments with a few highlights of our Q2 financial performance. I'll then provide a brief overview of IAS and how we believe we are uniquely positioned as the global benchmark for trust and transparency in digital media quality. I'll talk about our four growth drivers and our Q2 progress in each of these areas, including a discussion of our acquisition of Publica, a leading connected TV or CTV advertising platform. Finally, Joe will review our financials and outlook in detail before opening it up for questions. IAS delivered an outstanding second quarter. We generated revenue growth of 55% year-over-year to $75.1 million compared to last year's COVID impacted quarter. Our revenue is fueled by the continued strength of our advertiser direct channel and acceleration of our programmatic business, highlighted by the strong contribution from our contextual targeting offering. We also achieved strong profitability with gross margins of 83% and adjusted EBITDA of $25.7 million at a 34% margin. Our second quarter results reflect IAS's continued dedication to our customers, and commitment to making every impression count. The world's leading advertisers, publishers and platforms trust us to create accountability within the increasingly complex digital advertising ecosystem. Our global customer base is loyal and diverse, composed of over 2,000 marketers and publishers with an average tenure of over 6.7 years among our top 100 marketers. IAS offers cookie free solutions that address ad fraud view ability, brand safety and suitability. We are deeply embedded in the advertising ecosystem providing solutions for both the buy side and sell side across open web, social platforms and in every major Demand Side Platform, or DSP. Our solutions are always on measuring all impressions on behalf of our advertisers. Prior to IAS, I spent 20 years in leadership roles at global tech platforms like Microsoft and Amazon and was always field based in order to be close to customers. When I joined IAS in January 2019, my first priority was to listen to the customer and learn how IAS could deliver better outcomes from marketers. I met with dozens of marketing and publisher customers. This customer first obsession is reflected in how we go to market with new products to meet our customers’ needs. Our product pipeline is based on offerings that are global, scalable and repeatable in multiple markets. Our deep partner integrations are one way in which we lead the market with innovative solutions. Google automated tag is a great example of a first to market technology we created in partnership with Google. Let's now discuss our growth strategy and our recent progress. An acceleration of digital first consumer lifestyles due to COVID-19 means marketers are permanently shifting ad dollars out of linear TV budgets, and following consumers onto digital platforms for better engagement and increased ROI. This fundamental shift in the digital ecosystem is driving increased demand for our solutions in four key segments; international, programmatic, CTV, and social platforms. Let's take a look at each of these growth areas starting with our global footprint. International revenue grew 58% in the second quarter. Currently, approximately 40% of our revenue comes from markets outside the Americas, which we believe is considerably higher than any other competitor. We began implementing our global strategy over eight years ago and today we have a well established global infrastructure that is generating revenue in 111 countries and in over 40 languages. We have successfully signed international brands such as Disney, GSK, Nestle and Adidas to multiyear contracts, and serve as their trusted partner in every region across the globe. EMEA and APAC revenue grew 61% and 51%, respectively in the second quarter. Growth was driven by both new contracts with local brands, as well as continued upsell and renewals of large existing customers. IAS's position as the premier verification partner in these regions allows us to develop long term relationships with marketers, such as Volkswagen, Bear, Sanofi, who then trust IAS to be their partner as they activate new territories. For example, we signed an advertiser direct deal out of India this quarter, with Samsung, who also partners with IAS in the US, Germany, and the UK and other locations. We see this trend in other emerging markets like LATAM as well. We partner with Coca Cola in many regions across the globe and because of the success of our partnership, Coca Cola has activated in new markets across LATAM. We believe that Latin America and APAC regions represents substantial growth opportunities and we are investing in developing our business in these markets by way of expanded in market customer service investments and by leveraging our global relationships. Turning to programmatic. As programmatic buying becomes a larger part of the advertising ecosystem marketers are increasingly focused on maximizing the impact of their digital ad spend, and verifying the quality of digital media. Privacy legislation, third party cookie deprecation and other audience IV changes, including Apple's identifier for advertisers are increasing demand for targeting tools that do not rely on gathering audience based data. To address this IAS launched our market leading contextual targeting solution, context control with the trade desk in March of 2020. Context control classifies content on a page level and analyzes it using our proprietary semantic technology. By the end of 2020, we had to integrate with all major DSPs, including Google DV 360. And we've seen strong market adoption with context control, representing over 30% of programmatic revenue in Q2. Context control has been a major driver of our programmatic growth overall. This quarter programmatic revenue reach 42% of total revenue up from 34% last year, and we believe on track to reach 50% in 2023. In Q1, we also acquired amino payments which is branded as our total visibility offering within programmatic. Total visibility provides transparency into supply path optimization of DV 360. For example, a brand such as State Farm is able to gain transparency into both supply path costs for ad inventory, as well as clear understanding of the corresponding ad inventory quality. They can then dial up and down their allocated spend accordingly. Next, I'd like to highlight the opportunity in CTV for IAS. According to each market, or the average amount of time spent with smart TVs and other OTT devices among us consumers rose 34%, year-over-year in 2020, to reach an average of 77 minutes daily. And our own is research suggests more than 9 out of 10 CTV users in the U.S. say they watch some form of ad supported streaming video content. For marketers this represents a tremendous opportunity based on consumer adoption and engagement with streaming content, but its ad dollar shift fraudsters follow. IAS was the first to bring ad verification to CTV with the world's first fraud and view completion solution in June 2019. This week, we are enhancing our leadership position in this space with our acquisition of Publica. As I mentioned earlier, Publica is a leading CTV advertising platform. Publica delivers true TV life experiences to streaming audiences by connecting supply side platforms or SSPs to unique CTV inventory. Its ad server and unified auction for CTV inventory help publishers to obtain the highest yield. Publica can also measure the frequency and placement of ads and CTV environments, helping to solve a significant challenge for publishers. Publica reports that it delivers over 3 billion ads on CTV every month with publisher partners such as Samsung, Viacom, CBS and Fox. Publica reports that publishers using its platform have seen on average a 30% lift in yield for their CTV inventory. We see both sell side and buy side synergies that will advance IAS's position in the CTV market. Through this acquisition, we are gaining valuable access to content and first party data that enables us to accelerate our CTV product roadmap. We believe that combined IAS's capabilities will enhance Publica's publisher solutions and IAS's reach. International presence and current market position will enable us to further address large CTV publishers’ needs at scale. In the future, we expect that IAS will be able to help advertisers with a trusted way to invest more budgets in CTV and measure the results by providing protection against ad fraud, along with brand safety and suitability controls when buying CTV inventory. IAS has a long standing relationship with Publica dating back to 2019 and we could not be more excited to welcome the public attune to IAS. It's early innings in CTV for all verification providers, but Publica really enhances our standing in the market. According to e-marketers, CTV in the U.S. is approximately $13 billion out of $455 billion overall market ad verification opportunity today. But we're very bullish on the product roadmap. Our CTV revenue has grown 404% versus second quarter 2020 off of a small base. We are expecting a more meaningful contribution starting in late 2022 into 2023. Finally, we're focused on bringing our ad verification and brand safety solutions to social platforms, which are trying to keep pace with increased consumer engagement and the proliferation of user generated content. Social engagement is translating into an incredible share of the global digital advertising spend shifting to social platforms. As ad budgets move to social marketers are calling for third party solutions like that brings speed, transparency, and precision to their social campaigns. We believe innovation in social live feeds will create durable and sustainable revenue growth in this segment. In Q2 social already makes up 37% of our advertiser direct revenue, and we expect this number to reach to 45% by 2023. We are currently developing our own in house solutions to detect and protect marketers from undesirable content inside news feeds. By relying on our own proprietary technology, we create the opportunity to scale our solutions to multiple platforms once opportunities become available. IAS is recently partnered with TikTok to provide a brand safe experience in the live feed. I'm excited to share that IAS and TikTok have launched an international brand safety beta providing advertisers with industry leading controls aligned with the Global Alliance for Responsible Media standards for infeed video. Our new global solution utilizes proprietary frame by frame video, audio, text classification technology, specifically designed for social environments, allowing advertisers to confidently promote their brand on TikTok. We look forward to sharing more news on our exciting partnership as we progress throughout the year. Other notable social updates this quarter include IAS's differentiated platform wide integration with the LinkedIn audience network. IAS is the first and only platform wide provider for LinkedIn audience network. Thank you again for your interest in IAS. As you know, our common stock began trading on NASDAQ on June 30. We're excited to be speaking with you today as a newly public company with a tremendous opportunity ahead of us. We believe we have the right team, talent, technology and partners to extend our leadership in the market. We will look forward to reporting to you on our progress. And with that, I'll turn it over to Joe to review the financials.
Joseph Pergola: Thank you, Lisa. I would also like to welcome all of you and look forward to working with you now that IAS is a public company. Before I review our second quarter results, I would like to remind everyone that my comments today include certain financial measures that will be presented on a non-GAAP basis. A reconciliation GAAP measures is available in today's release. Let me start with our efficient and highly scalable business model and KPIs before turning to a review of Q2, 2021 results and our outlook moving forward. IAS has an agile and scalable business model focused on high revenue growth and margins. We have significant reoccurring revenue that provides us with predictability in our forecasting. We partner closely with our advertisers and publishers to build multiyear minimum impression commitments, as well as fixed fee arrangements. Our revenue model is primarily based on impression volume with a blended CPM rate. The success of this quarter is not only seen through our revenue growth, but the result of our strong and long term customer relationships. As we continuously review our business effectiveness, efficiency and execution, I'd like to first highlight a few key business metrics that we believe will frame the performance of IAS going forward, and then I'll speak about their drivers. Our second quarter net revenue retention was 142% a significant improvement compared to 110% the previous quarter. Our total customers grew 17% to 2,155 which includes 2,018 advertisers, and 137 publishers. Additionally, our total number of large advertising customers with annual revenue over 200,000 grew by 21% versus the prior year period, ending the period at 187. Turning to our financial results, we reported a strong quarter driven by double digit gains in our programmatic and advertising direct channels. Second quarter revenue was 75.1 million, which was a 55% increase from the prior year period. It is important to note that last year, several macro events affected our business in different ways, including but not limited to the global pandemic, social and civil unrest and as we previously discussed the acceleration of a digital first lifestyle. Almost 90% of our total revenue comes to our advertiser direct and programmatic channels. The balance comes from our partnerships with our publishers, who we believe benefit from a higher yield and optimization from accessing our data, as well as contributions of our CM Pixel business. Our advertiser direct grew 40% to 35.3 million versus the prior period. This 10.1 million increase was a result of higher impression volume, particularly across Facebook and YouTube as clients such as Coca Cola, Nestle, LVMH, Sanofi, L'Oreal and Estee Lauder invest more in social. We saw strong second quarter growth in video revenues, which now accounts for 39% of our total advertising direct revenue. Total programmatic revenue grew 94% to 31.8 million versus the prior year period, as a result of impression volume growth, and an increase in our average CPM. Our context control solutions continue to schedule and gain adoption since their launch in early 2020 and made up 30% of total second quarter programmatic revenue. We're seeing some of our larger clients such as American Express, Deutsche Telekom, Disney, Johnson & Johnson and Volkswagen embrace our context control offering driving up their programmatic spend year-over-year. Our international investments and footprint continued to pay off. Our Americans, the rest of world revenue mix finished the second quarter at approximately 60/40. I'm immensely proud of our dedicated global teams and looking forward, I'm confident in their ability to further grow and generate revenue and established in emerging markets. Our geographic revenue splits were as follows. For the Americas, total revenue for the quarter came in at 45.4 million up 54% versus the prior year period. EMEA finished at 22 million up 61% versus the prior year period, and APAC finished at 7.6 million of 51% versus the prior year period. Total gross profit was 62.2 million resulting in a gross margin of 83% for the period, compared to 82% in the prior year period. The high margins are reflective of efficient cost structure. For operating expenses we incurred 41.5 million in stock compensation expenses during the quarter as a result of our IPO. I'll walk you through our operating expenses now excluding the impact of stock based compensation to assist with compatibility. For sales and marketing expense, for the second quarter of 2021 was 16.5 million down 2% from the prior year period. Our cost structure reflects an efficient go to market strategy, and is a testament to our investments and building a scalable platform both domestically and internationally. Products in tech expenses were 13.2 up 3% from the prior year period as we continue to invest in order to maintain our leadership and technology and innovation. G&A expenses increased to 10 million or 17%, primarily due to professional fees and costs incurred to support our initial public offering. For the second quarter, our adjusted EBITDA increased to 25.7 million from 3.8 million in the prior period reflecting an adjusted EBITDA margin of 34% driven by our top line growth and ability to leverage fixed costs as we scale. Cash generated from operations with 31.7 million for the second quarter. Our net loss for Q2 was 35.1 million or $0.26 per share, compared to a loss of 16.5 million or $0.12 per share in the prior year period. However, excluding onetime IPO related stock compensation expenses net income was 6.4 million. We ended the second quarter with cash and equivalents of 73.2 compared to 51.7 million at year end 2020. Our financial position has strengthened following our IPO which closed in the third quarter. We raised approximately 275 million in net proceeds from our IPO as well as the exercise of the underwriters option which will be reflected on the Q3, 21 balance sheet proceeds will be used to reduce long term debt and we are also prioritizing investing in the business through organic and as you saw from this week's acquisition announcement M&A initiatives. Publica is a fast growing profitable business operating at similar margins as our core business. Turning to our guidance. For the third quarter of 2021 we expect revenue in the range of 74 million to 76 million and adjusted EBITDA in the range of 16 million to 18 million. For fiscal year 2021 we expect revenue in the range of 308 million to 312 million and adjusted EBITDA in the range of 87 million to 91 million. Our guidance includes an anticipated contribution from the Publica acquisition 3 million in revenue for Q3 and 7 million in revenue for Q4, 2021. Let me share with you a few notes for modeling purposes. We experienced fluctuations in revenue that coincide with seasonal fluctuations in the digital ad spending of our customers. The global advertising industry experiences seasonal trends that affect the vast majority of participants in the ecosystem. Most notably advertisers spend least in the first quarter increasing spend throughout the year with the fourth quarter being our most important quarter which includes the holiday shopping season. Additionally we expect an annual effective tax rate of 10% for calculating third quarter 2021 EPS we expect basic weighted average shares outstanding to be approximately 153.5 million to 155 million. Lisa and I are now ready to take your questions. Operator? 
Operator: Thank you.  Our first question comes from Brent Thill of Jefferies. Your line is open.
Brent Thill: Good afternoon, Lisa, maybe you can just bring us up to speed on kind of the overall adoption of your services. And just describe how you would characterize the ending or wave that we're in right now, in terms of where you think the overall movement for your spaces would be the first question and just a quick follow up on Publica why couldn't you do this on your own? What did they bring to the table that's going to significantly enhance your CTV opportunity? Thank you.
Lisa Utzschneider: Thanks, Brent. So I'll take the first question. I believe the first question was about what are some of the trends that we're seeing right now in the industry. These are tailwind sprint that we have talked about in the past, including programmatic. As you heard in the script earlier, programmatic is a big accelerator of growth for business. We saw close to 100% growth year-over-year in our programmatic. A big reason for that was our context control, product program, programmatic is here to stay and will continue to grow. Second big growth driver is social platforms. And over the last 12 to 18 months as everyone spending so much time at home, both viewing stream content, spending time on social platforms, the user adoption of social platforms, marketers want to be in front of those consumers. So we'll continue to see social platform, again, accelerate our business and then the third big growth driver and this would be a nice segue into Publica is CTV and CTV I like to say it's the first inning of a long game. We are so excited about the acquisition that we announced earlier this week with Publica and we see Publica is an opportunity to accelerate our CTV efforts, just given what they bring with their global addressable CTV advertising platform, both in terms of giving us access to massive amounts of CTV, programmatic inventory, and also access to data. So those are the trends that we're seeing and also big reason why we acquire Publica and to answer your second question around, why couldn't we build it ourselves? Again, Publica they come with a unified auction of video ad server, and have such deep strategic relationships with video publishers, relationships with many of the leading SSPs and being able to build those types of partnerships it would take quite a bit of time and enables us to leapfrog in the CTV space.
Operator: Thank you. Our next question comes from  your line is open.
Unidentified Analyst: This is Frank, congrats on the quarter. Just given the strength and international wondering how you'd frame an opportunity in the longer term. And specifically, how far would you say your average global account is penetrated internationally?
Lisa Utzschneider: Yes, great question, Frank. So we're thrilled with the progress that we've made international. Our revenue split is 60/40 and international is growing faster. With international ISA has had a deep established footprint internationally for over eight years. We have deep partnerships in EMEA, in APAC. We continue to invest in emerging markets and seeing tremendous growth, like our investments in Latin America last year, same thing with Southeast Asia. And again, we're seeing so many global marketers looking to partner with IAS and sign 1 to 3 year contracts. So, combination of investing in international our overall international growth, and also we expect to see more and more global marketers looking to lean into IAS as their sole verification provider globally.
Operator: Thank you. Our next question comes from Mark Mahaney of Evercore ISI. Your line is open.
Unidentified Analyst: Hi, this is Ben on for Mark. Thanks for taking the question. Two if I could please. Can you just comment on the adoption you've seen of contextual control since the new iOS version rolled out has an uptick noticeably, and any impact since the third party cookie delay announcement from Google and then just can you talk about any cross selling benefits you see from the Publica acquisitions, any revenue synergies you can quantify? Thank you.
Lisa Utzschneider: Ben, for your questions. So with context control, context control has been a big hit with our marketing customers. We launched the product over a year ago, it was actually the end of Q1 in 2020, following our acquisition of  and it has been such an accelerator again, of our programmatic growth. Also, it is a differentiated product given our contextual intelligence technology, it's global. We offer it in over 40 languages, and also the other big differentiator for our context control products we offer across all of the major DSPs, including DV 360. So we're thrilled with the results we've seen out of context control the demand that we're hearing from marketers to be able to offer contextual targeting, both for avoidance and also to be able to seek out content that they want their brands to run adjacent to. In terms of future forward looking with context control, we see it continue to accelerate our revenue. We haven't had any hiccups with the product whatsoever and then in terms of cross selling with Publica another big differentiator and what excites us about the Publica acquisition is there's very little overlap between our customer base and Publica's customer base, our customer base, the majority of our customers are global marketers, we have over 2000 customers globally, and Publica, the majority of their business, it's publisher base. So it's a nice marriage of the buy side and the sell side of the business. Again we're just thrilled and looking forward to working with the Publica team.
Operator: Thank you. Our next question comes from Brian Nowak of Morgan Stanley. Your line is open.
Unidentified Analyst: Hi, this is Alex on for Brian, thanks for taking the question. Two if we can. One can you talk to IAS's momentum and visibility into adding new advertisers in the second half and what you view as key drivers behind that and overall just shortening the sales cycle there. And second, Joe of the revenue growth you saw into Q2 about 55% how much of it was attributable to growth in impressions versus CPM and are you able to quantify within CPM uplift from contextual control?
Lisa Utzschneider: Thanks Alex for the questions. I'll take the first one, and then I'll have Joe take the second one. So in terms of new advertisers, for H2, I couldn't be prouder of our sales team with all of the nice wins that they put on the board both in second quarter and in H1 wins, including global accounts like Air France, Samsung India, Uber, I could keep going down the list. But when we turn to H2 and new advertisers, we're feeling really good about the pipeline that's in place. But in terms of shortening the sales cycle the beauty of programmatic and our context control product it's a flip of a switch in the products lights up, and it's on. So as we continue to see the increase in investments in programmatic in context control in particular, it enables us to turn on advertisers faster to our solutions and get them live and up and running. Joe you want to take the second question?
Joseph Pergola: Yes, thanks, Alex. So with regard to programmatic, we're outpacing the programmatic market growth that's defined by the marketer. And we're gaining share programmatic due the conceptual and that trend will continue as there is a lot of Greenfield opportunities out there and can see that in our impression left and to answer your second part of the question, we are seeing a premium on a contextual control pricing and fully expect that to accelerate throughout the year.
Operator: Thank you. Our next question comes from Daniel Salmon of BMO. Your line open.
Daniel Salmon: Good afternoon. Thanks for taking the questions. Lisa you mentioned some in house technology that you were building for social platform news feeds, I'd love to hear more about that and your comment that you're ready to activate it when given the opportunity, because investors I'm sure have asked you and asked us a lot about the opportunity to expand your partnership with Facebook to their newsfeed. Love to hear your latest views on that and how this technology may impact that dialogue. And then just one for Joe, I think I heard you mentioned that Publica has similar margins to ISA I may have missed it, but any color on the revenue base or the impact to your top line growth. Thanks guys.
Lisa Utzschneider: Thanks, Dan. So I'll take the first question. So one of our four growth accelerators is social and social platforms in particular. And the area that we're very excited about to innovate on behalf of advertisers, is within the live feed. Marketers they continue to ask for a product that helps them with brand safety, brand suitability, in the live feed, and with video in particular, and we're thrilled to announce that our team built in house technology, in partnership with TikTok, where we're able to classify video and audio frame by frame and text classification technology, so that we can classify if the content is brand safe and brand suitable for marketers. Right now, the beta is early innings of the beta, we just launched the beta in a handful of markets with some marketers, but the product should be available towards later in the year. But again, it's just an illustration of how we innovate on behalf of our customers. And just the caliber of our data science team and engineers.
Joseph Pergola: And Dan on Publica on the guide in the revenue upside for the year. We define for you that there's about 10 million for this year. It's a very efficient as you cited business model similar to our own. So we expect some very similar revenue and expense profiles. As I defined you have a lot of Greenfield and synergy opportunities for us to work through with them. But it's early days it's just a couple days from the acquisition, but we fully expect a tremendous amount of opportunity with Publica.
Operator: Thank you. Our next question comes from Jason Helfstein of Oppenheimer. Your line is open.
Jason Helfstein: Thanks. I have two. So I want to dig a little more Publica. I think you said that they largely focus on publishers as clients. Can you take them to technology and ultimately make something that appeals to advertisers? So that's kind of question. So the idea that you bought more than revenue but technology you can turn to something bigger. And then the second in the release in your comments, you highlighted both TikTok and LinkedIn any meaningful amount of contribution assumed in the back half guidance or not yet? Thanks.
Lisa Utzschneider: Thanks, Jason. So the first question on Publica whether or not we can leverage Publica as existing technology for marketers, given that we just announced the acquisition earlier this week, we will take some time to determine what the forward looking integration looks like and for the foreseeable future, Publica will be a standalone entity but we will start coming together and putting a plan in place and once we have that plan in place we are happy to come back and share what that looks like. Yes and then Joe you wanted to take the second question?
Joseph Pergola: Thanks Lisa. So with TikTok and LinkedIn they are data we would fully expect them to contribute towards the end of the year or really start contributing mid way in 2022.
Operator: Thank you. . Our next question comes from Andrew Marok of Raymond James. Your line is open.
Andrew Marok: Thanks for taking my question. I wanted to dive a little bit deeper into the strengthen in the advertiser direct segment. So I guess how much of that was driven by existing customer gross and upscale versus some new customers and then anything notable to call out on things like advertiser verticals or customer types where particularly strong into 2Q and indicating in 3Q? Thank you.
Lisa Utzschneider: Thanks Andrew. I will have Joe pick up that one.
Joseph Pergola: Yes. Hi, Andrew and sorry it was a great quarter for us with advertiser direct, reached even 14% year-over-year growth for the period. And then to your question regarding those verticals we see strength across quite a few but notably CPG, retail, and auto and tech telco and we expect that continuum momentum throughout the year.
Operator: Thank you. I am showing no further questions at this time. I will turn the call back over to Lisa Utzschneider for any closing remarks.
Lisa Utzschneider: Thank you. Well thank you everyone for your time today and for your questions. I hope this gives you a better understanding of IAS's momentum that we have right now in the business. I could not be prouder of the results that we delivered in Q2. It is a very strong quarter for us and also could not be prouder of the IAS team and we will continue to focus on the four growth accelerators that we have mentioned before from programmatics, social platforms, CTV, and international expansion and also I want to welcome the Publica team we are thrilled to announce that acquisition earlier this week and we look forward to transforming the CTV industry moving forward. So with that I hope everyone has a great day.
Operator: Thank you. Ladies and gentlemen this does conclude today's conference. Thank you for participating. You may all disconnect. Have a great day.